Kevin LaBuz: Good evening, and welcome to 1stDibs earnings call for the quarter ended March 31, 2020. I'm Kevin LaBuz, Head of Investor Relations and Corporate Development. Joining me today are CEO, David Rosenblatt; and CFO, Tom Etergino. David will provide an update on our business, including our strategy and growth opportunities, and Tom will review our first quarter financial results and second quarter outlook. This call will be available via webcast on our Investor Relations website at investors.1stdibs.com. Before we begin, please keep in mind that our remarks include forward-looking statements, including but not limited to statements regarding guidance and future financial performance, market demand, growth prospects and business plans. Our actual results may differ materially. Forward-looking statements involve risks and uncertainties, which are described in our SEC filings. Any forward-looking statements that we make on this call are based on our beliefs and assumptions as of today, and we disclaim any obligation to update them. Additionally, during the call, we'll present GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which you can find on our Investor Relations website along with a replay of this call. Lastly, please note that all growth comparisons are on a year-over-year basis unless otherwise noted. I'll now turn the call over to our CEO, David Rosenblatt.
David Rosenblatt: Thanks, Kevin. Good evening, and thank you for joining us today. In the first quarter, we delivered results near the high end of guidance, while laying the foundation for future growth. Once again, our trade business posted strong results and continues to have great momentum. In contrast, consumer GMV declined modestly year-over-year due to lower new buyer conversion, a trend that's continued into the second quarter. In 2020 and 2021, pandemic-related lockdowns and other restrictions shifted consumer spending online. As the world reopens, the pendulum is swinging back in the other direction, with consumers spending more in categories like travel and restaurants. Traffic and top-of-funnel engagement metrics remain strong, but new buyer conversion headwinds resulting from rising macro uncertainty and economic reopening have reduced our GMV growth outlook for the second quarter relative to our previous expectations. While our near-term consumer demand outlook is lower, we remain optimistic about the future. From 1999 through 2019, U.S. e-commerce penetration rates consistently increased. During COVID, they inflected upward, and we're now seeing this trend unwind. We believe this is a temporary dynamic. When we think about the next decade, e-commerce will be a much larger market than it is today. Said another way, when the environment normalizes, we expect that e-commerce will resume its historical growth trend. We aim to capitalize on that growth. Encouragingly, top-of-funnel activity as measured by consumer traffic, registration volume and item favoriting is strong. However, consumers are not converting their interest into orders at historical levels, likely due to temporary external factors. Given our strong balance sheet and large opportunity, we have chosen to continue to thoughtfully invest for future growth. Despite current consumer headwinds, our high gross margin, asset-light business model and strong balance sheet provide us the flexibility to continue to execute on our strategic road map. Our plan for 2022 and beyond is to enhance our marketplace growth rate by focusing on 4 strategic areas: supply growth, auctions, international expansion and NFTs. Each represents a meaningful GMV opportunity. In the first quarter, we made progress on all 4. Our first priority is accelerating supply growth. There is no other marketplace with our breadth of unique luxury design. However, the number of our current listings is just scratching the surface of potential qualified items. For 2-sided marketplaces, supply begets demand. Given the heterogeneous and long-tail nature of our listings, more supply increases marketplace liquidity. Supply drives traffic, broadens buyers' options, make search results more robust and increases the chances that we'll return a match for a given search. Our goal is to aggregate the world's most beautiful items regardless of where they're located. To accelerate supply growth, we launched a pricing test for new sellers in January. This allows sellers to choose the plan that best fits their business and includes a subscription-free tier with higher commission rates. This option reduces friction by lowering the upfront cost of trying the 1stDibs marketplace. Early results have been encouraging. We signed over 700 new sellers in the first quarter, ending March with over 5,400 seller accounts, up over 25% year-over-year. Our monthly seller acquisition was over 3x higher than our monthly average in 2021. In general, these new sellers are drawn from our geographies, price points and verticals in a similar proportion to our existing sellers. Additionally, the new pricing options are helping to reduce churn, particularly for sellers with lower volumes. Sellers are responding well to having a choice of pricing options. Of note, about 85% of new seller accounts are choosing the subscription-free option. Even so, the higher volume of new sellers means that the number of sellers selecting plans with the subscription component is still about 50% of our 2021 monthly new seller run rate, highlighting the value of the services we offer on subscription tiers. Given the highly-considered nature of our purchases, it takes time for sellers to get up and running. The average seller takes about 90 days to make their first sale. Still, we're encouraged by the early progress we've seen. New seller accounts in the first quarter listed over 12,500 items and generated over $300,000 in GMV. Our second priority is commercializing auctions. We made progress on this front as well. Auctions provide a new way for buyers to discover and own the world's most beautiful things. This new purchase format leverages our existing supply and demand, adds a common luxury purchase format to our marketplace, increases urgency and creates opportunities for buyers to find exceptional deals. Auctions also provide a new on-ramp to our marketplace for more price-sensitive consumers. While it's still early, we're seeing healthy order growth offset by AOVs below fixed-price marketplace AOVs, as expected. Encouragingly, and most important, new buyer conversion rates for auction items are 3x higher versus the same metric for non-auction items. Additionally, sell-through rates on auction items are about 2x higher than non-auction items. Increasing new buyer activation and sell-through rates were key objectives of introducing the auction format, and we're excited to see them playing out. Since launching in November 2021, we've enhanced the product experience through weekly updates. This quarter, we launched additional buyer urgency drivers through platform updates, e-mail and app notifications and new tools for sellers to manage their listings, update pricing and provide second chance offers. In the first quarter, our efforts focused on providing sellers with pricing guidance. Listings with low starting bids, competitive reserves and attractive buy-it-now prices have higher bidding activity and correspond to buyer expectations of value for auctions. We've seen a sharp increase in the adoption of our pricing guidance. The number of auctions that meet all 3 of our pricing criteria has increased to over 20% at the end of March from below 1% at the start of January. Optimizing pricing allows us to get more aggressive marketing auctions and building awareness, setting the stage for higher bid participation and ultimately, higher future GMV growth. Our third priority is international expansion. We see a meaningful global opportunity and have a multiyear road map. Today, about 40% of our sellers, 1/3 of our traffic and 1/5 of our buyers are located outside the United States. Additionally, in the first quarter, international seller GMV growth outpaced U.S. seller GMV growth. In late April, we smoothly launched in Germany, and we plan to launch in France in May. These countries are our largest non-English speaking markets by order volume. Localizing our product strengthens the 1stDibs marketplace and allows buyers and sellers to transact in the language they're most comfortable with. With time, this should grow our buyer base and increase the unique supply on the marketplace. Supporting our launch in the first quarter, we completed the bulk of our upfront translation work. over 400 million words in total, to support localized production for Germany and France. Other international expansion progress included localizing sort order and search, translating marketing campaigns, hosting press events in Berlin and Paris, and building out European buyer and seller support. These launches are a cross-functional effort encompassing product, engineering, operations, logistics, marketing, supply and customer experience. I'd like to thank everyone involved. Our final priority is NFTs. In the first quarter, we made additional improvements to our NFT platform. In early March, we launched self-minting capabilities and creator profiles. Self-minting allows digital artists to create and sell their tokens in a self-serve fashion. Since those launches, the supply of NFTs on the 1stDibs marketplace has grown over 50%. The number of artists on the marketplace has nearly doubled, and our Twitter followers almost doubled. While expanding NFT supply is our near-term focus, we believe these first quarter accomplishments are precursors to future GMV growth. We are cognizant of the fact that the e-commerce operating environment has become challenging and unpredictable over the past few months. We remain confident that in the long term, e-commerce adoption will continue to grow and luxury design will continue shifting online. This confidence is reinforced by the healthy top-of-funnel activity we've seen year-to-date. Additionally, our past success with initiatives like SEO and expanding the marketplace beyond the vintage and antique furniture category, give us the confidence to invest in our road map. Today, about half of our GMV comes from our newer verticals like new and custom furniture, jewelry, art and fashion, and SEO traffic mix has increased substantially. Each of our initiatives is a tried-and-true marketplace growth tactic and has the primitives in place to be successful. For example, auctions are a common luxury purchase format. A significant percentage of our supply and our traffic come from outside the U.S. Growing supply increases marketplace liquidity. The hardest part of scaling an online marketplace is cracking the chicken and egg problem with supply and demand. We've done this with auctions, international and supply. We are making these investments because we expect attractive ROIs in terms of new buyers and GMV. Margins matter to us, profitability matters to us, generating free cash flow matters to us. As we think through our road map, we do so with these considerations in mind. Turning away from strategic initiatives, we also continue to improve our core platform. While new buyer conversion declined, top of funnel activity remains healthy, with traffic, registrations and item favorites growing double digits. We also redesigned our mobile web product pages and increased parcel pre-quote coverage. Today, 99% of our eligible parcel items have a pre-quote to buyers in the U.S., Europe and other international markets. However, continued shipping inflation represents a conversion headwind. Since our last earnings call, changing consumer behavior, rising macroeconomic uncertainty and consumer conversion headwinds have reduced our second quarter GMV growth outlook relative to our previous expectations. Undoubtedly, the macroeconomic environment has become more uncertain due to inflation, rising interest rates, geopolitical tensions, increased mobility, changing consumer spending patterns, stock market volatility and other issues. Our high gross margins, asset-light business model and strong unit economics provide us the flexibility to think long term and make disciplined investments in our growth. I'll turn it over now to Tom, who will discuss our financial results and outlook.
Tom Etergino: Thanks, David. I'm delighted to have joined 1stDibs a few weeks ago, and I'm looking forward to helping drive growth for years to come. In addition to being a 1stDibs customer, I'm a long-time admirer of the brand, the business model and the company's unique position in luxury e-commerce. Turning to the first quarter. We delivered results at the high end of our guidance range, which I'll review along with providing an outlook for the second quarter. First quarter GMV was $117 million, up 3%. As a reminder, we lapped historically strong GMV growth of 64% from the first quarter of 2021. Similar to the last few quarters, trade GMV growth outpaced consumer GMV growth, with trade GMV hitting a quarterly record. Once again, we grew both the number of spending trade firms and the average spending per firm. Many of the firms we work with have full pipelines, and the trade business continues to have great momentum. While trade GMV growth remained robust, consumer GMV modestly declined due to traffic mix shipped from returning buyers to new buyers and softness in new buyer conversion. Additionally, as the world reopens, we believe there is pent-up demand for spending on experiences and travel. As a reminder, when we reference trade GMV or consumer GMV, we are speaking of the subsets of on-platform GMV attributable to each of these buyer groups. Fashion and new and custom furniture were our fastest-growing verticals, consistent with the fourth quarter. Vintage and antique furniture accounted for less than 50% of GMV, and the majority of our first-time orders continue to come from our new categories like art, jewelry and new and custom furniture. Continuing a trend from 2021, average order value was over $2,900, up 11% on broad-based strength across categories. This illustrates the trust we built over the past 2 decades. There's no other digital marketplace operating at our scale, transacting at our price points across multiple verticals. Average order value growth was offset by order softness due to 2 traffic mix shifts: a shift towards mobile web and a shift towards new buyers, both of which have lower conversion rates. For context, returning buyer conversion is materially higher than new buyer conversion so a traffic mix shift towards new buyers puts downward pressure on overall conversion. Many of these new buyers are coming from organic channels like SEO. We have several projects and tests in flight to increase conversion engagement from new buyers, including overhauling remarketing for a post-IDFA world, redesigning our mobile web product pages, updating our mobile web checkout and increasing awareness of auctions, which have higher new buyer conversion versus non-auction orders. Importantly, conversion for returning buyers grew year-over-year and top-of-the-funnel activity remains healthy. We ended the quarter with approximately 71,300 active buyers, up 10% year-over-year but down 2% quarter-over-quarter. As a reminder, active buyers is a trailing 12-month metric and could be choppy near term as we cycle through some strong comps from the pandemic-related e-commerce boost. On the supply side of the marketplace, we closed the quarter with over 5,400 seller accounts, up over 25%. As David mentioned, we've seen great response from our new seller pricing test, which launched in January. Net revenue of $26.6 million grew 4% driven by GMV growth. Transaction revenue, which is tied directly to GMV growth, was approximately 70% of revenue, with subscriptions making up the bulk of the remainder. Gross profit was $18.9 million, up 2%. Gross profit margins were 71.1%, down from 72.5% a year ago. As expected, gross margins normalized following elevated shipping losses in the fourth quarter. While we continue to see shipping price inflation, the measures we implemented starting in December have kept shipping costs in line with historic norms. We are reviewing shipping data on a regular basis and we'll continue adjusting our shipping rates to reflect market trends. Sales and marketing expenses were $11.8 million, up 2%. Consistent with the fourth quarter, we pulled back on some performance marketing due in part to continued IDFA headwinds. Sales and marketing as a percentage of revenue was 44%, down versus 45% a year ago. Technology development expenses were $5.8 million, up 46%, driven by headcount growth and expenses supporting the launch of our localized sites in France and Germany, including translation. As a percentage of revenue, technology development was 22%, up from 15%. General and administrative expenses were $6.4 million, up 45%. The increase was mainly driven by expenses related to public company costs, including D&O insurance and increased headcount. As a percentage of revenue, general and administrative expenses were 24%, up from 17%. Lastly, provision for transaction losses were $1.7 million, up 59%, driven primarily by an uptick in transactional losses related to shipping damages and items lost in transit. Looking forward, we are working to mitigate these issues by optimizing our carrier network, reevaluating carrier SLAs and partnering with sellers to improve packaging practices. Provision for transaction losses were 6% of revenue, up from 4%. Adjusted EBITDA loss was $4.7 million compared to a loss of $1.3 million last year. Adjusted EBITDA margin was a loss of 18% versus a loss of 5% last year. This year-over-year change was driven primarily by higher G&A expenses due to public company costs and higher investment in technology development spend due to headcount growth and product localization. Moving on to the balance sheet. We ended the quarter with a strong cash and cash equivalent position of $161 million. Now turning to our outlook. We forecast second quarter GMV of $104 million to $111 million, equating to a year-over-year change between a decline of 3% and growth of 3%; net revenue of $24.4 million to $25.5 million, equating to year-over-year change between a decline of 1% and growth of 3%; adjusted EBITDA margin loss of minus 32% to minus 28%. As David mentioned, due to shifting consumer demand, rising macroeconomic uncertainty and consumer conversion headwinds, it's a tricky environment to forecast e-commerce demand. While we're not providing full year guidance, we'd like to share some additional context on the assumptions on delaying our GMV outlook. We have widened our GMV guidance range to reflect increased uncertainty. Last quarter, our outlook was that year-over-year GMV growth would be the lowest in the first quarter. This is no longer the case due to the issues David and I discussed earlier. The midpoint of our second quarter guidance implies that GMV growth is flat year-over-year. We continue to expect GMV contribution from our strategic initiatives to increase in the second half of the year. Turning to adjusted EBITDA margins. Guidance reflects a sequential decline in revenue, continued disciplined investment in our 4 long-term growth drivers. When we resume growth, we expect to generate operating leverage. That said, 2022 EBITDA margins will be dictated by the pace of GMV growth. In the first quarter, we made foundational progress in our 4 strategic initiatives, which represent meaningful upside potential over the next few years. Over time, our objective remains scaling the 1stDibs marketplace, improving our buyer and seller experience and achieving profitability and free cash flow generation. Thank you for your time. I'll now turn the call over to the operator to take your questions.
Operator:  Our first question comes from the line of Ralph Schackart with William Blair.
Ralph Schackart: David, you called out a lot of macro headwinds that are fairly well known in the marketplace today. But just curious, it sounds like your upper funnel traffic still remain the same, which is great. You're having more sort of new buyers come to the platform. However, conversion is going to be a work in progress. Just curious, how quickly do you think the platform can mobilize to drive stronger conversion with the new buyers despite sort of the -- or I guess, given the macro headwinds?
David Rosenblatt: Sure. Ralph, thank you for the question. So you're absolutely right. Top of the funnel remains as healthy as it's ever been, in terms of traffic growth, what we call dealer contacts, meaning the number of buyers who reach out to sellers with product inquiries and so on. In other words, people are walking into the store. They're just not checking out. So we have a bunch of projects and initiatives pointed at that. Some are more tactical and near term. Others are longer term. The near-term ones include things like, for example, we're putting a lot of energy into optimizing the mobile flow, because a lot of the traffic growth has been driven by mobile. And mobile web, as you know, has lower checkout or lower conversion rates typically than desktop and app. So we're putting some energy into that. Shipping as well. We're increasing our pre-quote coverage for parcel items, which carry lower shipping prices in general. And then in terms of the longer-term bucket, all of our core strategic initiatives are focused, in one way or another, on improving conversion, right? So international is a good example. Non-U.S. visitors check out at a -- or convert rather at half the rate of U.S. buyers. We just launched France yesterday or today, rather. We launched Germany 2 weeks ago. By increasing the number of items on the site, we reduce the number of pages that buyers land on with very few products on them, which is a fairly widespread given that we're a long tail marketplace. And so -- and auctions are pointed at exactly the same thing. So all the data that we're seeing in terms of these projects are encouraging. But again, to the extent to which they win against the macros, people above my pay grade are probably the better people to ask in terms of when those macros change.
Ralph Schackart: Great. Maybe just a follow-up. I think you talked about it in the prepared remarks, I apologize. But just remind me if you talked about it already, what happened with shipping costs, I guess, with respect to last quarter? And how has that trended sort of quarter-to-date?
Tom Etergino: Sure. Thanks for the question. There's 2 different shipping issues that -- last quarter, the shipping issues that we were talking about there were on pre-quote losses that we had. We effectively and quickly addressed those in Q1, and that's why you're seeing that our margins were at 71%. So they reverted back to historical levels. In this quarter, what we're seeing is an increase -- a little bit of an increase in the loss provision as a percentage of GMV. And we've seen a little bit of a trend on that over the past few quarters. increasing to a high -- to the higher end of what we've seen as a percentage of revenue in the past. And it's primarily driven by items that are being lost or damaged in shipping. And based on kind of the state of logistics services today, we're seeing some degradation in the service levels as many of the carriers are operating at or above their capacity. So we're doing 3 things to really mitigate the losses: we're optimizing our carrier network, we will be reevaluating and strengthening all of our carrier SLAs, and we are partnering with our sellers to improve their packaging practices. So we expect these actions to take the losses down to kind of the historic percentage of revenue, the lower end of the historic percentages. But it is going to take some time to realize those impacts.
Operator: And our next question comes from the line of Justin Post with Bank of America Merrill Lynch.
Justin Post: One just quick numbers question. Can you give us any help on the mix of revenues between -- sorry, between transaction and non-transaction? And as you change the fee structure and have less people on subscriptions, what does that mean for overall take rates? And then I have a couple of follow-ups.
Tom Etergino: So yes, this is Tom. The rough breakout of transactional is about 70-30. Can you repeat the second part of that question?
Justin Post: On the call, you mentioned more sellers are kind of joining the platform subscription-free, I think you said 85%. So just wondering, as more people adopt kind of that format of pricing, what does that mean for overall take rates as you think out the next couple of years?
David Rosenblatt: Yes, I can answer that, Justin. So the new seller pricing plan so far has -- we've been quite happy with. Actually, we've tripled the growth rate or the number of sellers, rather, that we've added in the first quarter versus Q1 a year ago. The program is designed to be take rate neutral. So that's how we think about it.
Justin Post: Great. And then I guess the last one is on auctions. Obviously, you've got some new data here. You mentioned it's kind of higher conversion. Is it at all material to GMV or something that could be helpful as you get out to Q4? And how do you think about that now that you have a quarter into it about converting, I think you said last quarter, $14 billion of inventory. But is it something that could make a difference by Q4 or next year?
David Rosenblatt: Yes. So we're quite happy with the progress so far. Our focus, given that it just launched basically mid-Q4, has been on the operational or behavioral drivers that ultimately convert into GMV. So specifically, our focus in the first quarter was on helping educate sellers to price in a way that is most effective for the auction format, and we went from 1% of items meeting our pricing criteria to roughly 20%. The impact of that operationally was we basically doubled orders in Q1 versus Q4, albeit at a lower AOV than in Q4, but that's okay because, again, what we're optimizing for is effective pricing for this format. In terms of making headway on the kind of the opportunity that this product is pointed at, which as you point out, was primarily conversion, specifically new buyer conversion, we did see, as I mentioned in the script, that conversion rates for new buyers for auction items were about 3x that of conversion from non-auction items. If you look at that conversely on a supply basis, sell-through for items in auction was about 2x sell-through for items in the marketplace. So we are making progress against our strategic objectives, specifically in terms of being able to better monetize the large amount of unsold inventory in the marketplace. We continue to make progress each quarter. I don't want to put a kind of specific quarter on when it turns into any specific GMV number, but again, we're very happy with the inputs there, and we're confident that it will translate into GMV growth.
Justin Post: Last question, on the 2Q guidance, if you take the midpoint, it's down $9 million or $10 million for GMV quarter-over-quarter. Going back to '19, it was flattish. Clearly, last year, it was down as well on weird pandemic stuff. But any reason why quarter-over-quarter, it's down. Is that normal seasonality? Or is it some of the macro factors have really intensified here in April?
David Rosenblatt: Yes. So there are a lot of growth areas in the business. And I think it's worth calling that out. I mean trade, for example, had a very strong quarter. And again, all the kind of inputs to that business continue to remain very healthy. Top of funnel, as we mentioned before, is also very healthy. Returning buyer conversion grew year-over-year. The primary driver of the GMV softness in Q2 is on conversion and specifically new buyer conversion. So what's happening is we're getting a lot of growth from SEO traffic, in particular, and that has among the lowest conversion rates of all of our traffic channels. And in particular, those growth rates -- rather the change in conversion from that channel declined. And we feel like we have a pretty good handle on why. Certainly, part of that has to do with macros. Part of it also has to do with things that are specific to that channel, and we're working on addressing those.
Operator: And our next question comes from the line of Ross Sandler with Barclays.
Ross Sandler: I just wanted to follow up on that trade comment. So the fact that, that's holding up pretty well is interesting. Is there like a reason, like a noticeable difference in like the end customer, either being like more premium? Or do these designers just have a larger backlog that maybe they're working through currently that the consumer part of your business is more a reflection of like people feeling the pinch in real time? Just curious, like, is that -- is it a little more insulated to recessionary impact on the trade side. And if you're adding more trade buyers, can you potentially grow through it, I guess, is the question. So that would be number one. And then on the freight increases, like you guys did a good job of improving the pre-quote margin, so nice job there in the first quarter. But are higher shipping costs in general just deterring people from buying? Any color on that versus, I guess, the less bulky items that wouldn't be subject to huge shipping costs. And then last one is 1/3 of traffic from international, is that a good proxy for kind of the North Star? I think international GMV is at like 7% or something like that? Is that how we should think about that? And any early read on the Germany? I know it's only been a couple of weeks, but any additional reads there?
David Rosenblatt: Ross, so just taking those in order. First trade. So we are seeing strength in trade, both in terms of kind of actual spend, also in terms of our sales pipeline and what our designers are reporting to us in terms of their own pipelines. Why is that happening? Is it a different market than the rest of our business? I mean I think it's more of a direct proxy, of course, on the luxury real estate market, which remains very strong. And yes, our buyers do tend to rely on designers. So as long as that market remains healthy and the volume of new sales maintains, then I think that business will remain healthy for us. I'd say another point there is that we've now been in the business for, I don't know, 4-ish years or so. And I think just the more that interior designers use 1stDibs to source, the more it becomes embedded in their muscle memory, the further up the learning curve they become. Designers tend to shift firms. They typically bring their kind of approach to purchasing from firm to firm. So I think there is something of a network effect there as well that we're benefiting from. But obviously, it's very hard to quantify that. In terms of shipping, look, I mean, we -- the market is dynamic enough that I don't know that we have a kind of specific ability to quantify it. However, intuitively, of course, as shipping prices increase, it has to have a negative effect on conversion, particularly for the roughly kind of 20%, 25% of our order volume that is freight rather than parcel. And then third, in terms of the North Star in international, as we said it a couple of times, I mean, conversion rates for non-U.S. buyers are roughly half that of U.S. buyers. I don't know that, that closes 100%, but in terms of the goal, that is the goal. I would say, though, a couple of other things to caveat that, right? One is it takes a while to get there. We just, for example, we launched Germany 2 weeks ago. We just submitted our German site map to Google for SEO indexing. We launched France today. We, of course, haven't done that yet. Once we get some traction on SEO, then we'll layer in paid. So that is out a bit as well. So I think -- and that's a primary source of leverage we have in terms of driving growth. And then, of course, we have ultimately new markets beyond that. So -- and then lastly, once we're a local language, we also have the ability to localize the supply side, meaning translate our seller tools into local languages in addition to translating the consumer experience, which is what we've done to date, which should allow us to expand supply. So everything I said does provide, I think, a healthy long-term runway for international. But it's also not something that happens overnight. In terms of Germany, specifically, which I think was your last question, it's too early. It's only 2 weeks. And I think what we're encouraged by is that the launches were smooth from a technical point of view and from a marketing point of view. But again, it was only a couple of days ago that we submitted the site map for indexing by Google. And so we haven't -- it's a little bit too early to draw any conclusions in terms of performance.
Operator:  Our next question comes from the line of Spencer Tan with Evercore ISI.
Spencer Tan: I had one just around the mix between cross-vertical and single vertical buyers, maybe over the last couple of quarters, how that's trended? I know that, that was kind of a really big positive for you guys at the time of the IPO. And then actually, maybe just to follow up on that. In your newer verticals, so new and custom furniture, art, jewelry, et cetera, what kind of verticals do you have the most confidence around growing through the back half of this year, understanding that it's a pretty difficult macro environment? But just any color behind vertical mix, and then as well as the single 2 multiple vertical buyer trends would be great.
David Rosenblatt: Yes. In terms of share of wallet, meaning cross-vertical purchasing, those trends have remained relatively constant over the last quarter. In terms of how we feel about different sort of differential category performance, right now, our new and custom, meaning contemporary furniture category, and our fashion categories are growing the fastest. What's very encouraging is that the fashion category has significantly ramped up its supply growth, its posting activity. And so again, I think we do expect to see that continue. New and custom is helped by strength in trade, their primary buyers of new and custom furniture. So again, just the same fundamentals -- as long as the fundamentals don't change, we don't expect to see a dramatic change in the relative growth rates versus what we saw in Q1, which was -- which had new and custom and fashion growing the fastest.
Operator: Thank you. And this does conclude today's question-and-answer session. Ladies and gentlemen, this also does conclude today's conference call. Thank you for participating, and you may now disconnect. Everyone, have a great day.